Operator: Good morning, ladies and gentlemen, and Welcome to Impel NeuroPharma’s Fourth Quarter and Full-Year 2021 Earnings and Corporate Update Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded.  I would now like to turn the conference over to Impel’s Chief Financial and Business Officer, John Leaman. 
John Leaman : Thank you, Norma and good morning, everyone. We are delighted that you could join us today for Impel NeuroPharma’s quarterly earnings conference call, during which we will review our fourth quarter and full-year 2021 financial results, as well as providing a general corporate update.  Joining me from Impel this morning is Adrian Adams, Impel’s Chairman of the Board and Chief Executive Officer; and Len Paolillo, Chief Commercial Officer. Before we begin, I'd like to remind everyone that we have a slide presentation to accompany our conference call this morning, which can be viewed at our website at www.impelnp.com. If you are listening to this call on your telephone, you may access a synchronized slide deck on our website, bby choosing the link on our webcast page.  As we go to Slide 2, I would like to remind you that during the call, the company will be making forward-looking statements that are subject to risks and uncertainties that may cause actual results to differ from the results discussed in the forward-looking statements.  With that, I will turn the call over to Adrian. Adrian?
Adrian Adams: Thank you, John. Good morning, everyone. And thank you for joining us. I'm both pleased and indeed excited to update you on the progress we have made since our quarter three earnings call and the corporate update we provided in January of this year.  On this next slide, #3, I would like to begin by reminding everyone of not only the size of the market opportunity for TRUDHESA, but also the significant unmet need migraine patients continue to have from an efficacy perspective. As many of you know, the migraine market has grown tremendously over the past three years, and most of this growth has come from the post trip on market fueled by the new Gepant entrance. Much of this prescription growth is also being driven by the neurologist community.  The significant investment made by these companies has awakened a market that suffered from a lack of innovation. However, you will know that, while patients and physicians are eager to try something new, they are still searching for efficacy. This is evidenced by data from Symphony that shows that as many as 67% of Nurtec and 66% of Ubrelvy patients either discontinue or switch away from these products. This churn of the data has been consistent for the past year and further illustrates the opportunity for TRUDHESA given the product's predictable and consistent efficacy profile. I'd now like to turn to our next slide. Slide #4. As covered in our January press release, the fourth quarter launch of TRUDHESA exceeded our expectations with cumulative total prescriptions of over 4,200, a solid foundation was set for continued growth and momentum in 2022. You may recall that, we launched with a targeted strategy, deploying a 60 person sales team against 8,000 targets made up of approximately 5,500 neurologists and 2,500 high value primary care physicians.  These 8,000 targets account for around 35% of the total migraine market, and 60% of all acute branded prescriptions.  Within these 8,000 targets, we identified 2,000 super targets, with whom we have been focused a sizable proportion of our promotional effort. Within this group, we see consistent new to brand share evolution with TRUDHESA reaching 3.1% in just the third month of launch. When looking at the earlier adopters of TRUDHESA, you can see the depth of prescribing that pushes their share of TRUDHESA to over 10% of their new to brand prescriptions. Turning now to market access progress on Slide #5. We were delighted to end 2021 having already signed contracts that cover approximately 80% of the commercial lives in the United States. Importantly, these contracts, not only reflects are gross and net discipline, but allow access to TRUDHESA after failure of one or two generic triptans, a comparable position to our Gepant competitors. Now pulling these contracts through to align policies in downstream clients is the key to net price evolution, we have seen considerable progress on this front. Key payers like ESI, Cigna and Prime have dramatically improved their coverage to TRUDHESA, when conferring the first fill for patient in 2021 with a first fill in January, 2022. We are confident in the continuation of these trends across major payers in the quarters to come. On our next slide, Slide #6, we would like to share the continued strong growth in TRUDHESA prescriptions we have seen so far within this current quarter. This momentum being delivered in the face of disruption due to the December holidays and the short but severe Omicron wave. With three weeks of data left to report in the first quarter, we have nearly tripled our total prescriptions versus our first quarter of launch further solidifying our foundation for 2022.  We are pleased that this prescriber base with TRUDHESA continues to expand across all segments as shown on the next slide, slide number 7. These data show that our super targets account for 60% of our prescribers and 85% of our prescription volume. You will note from this slide that when a prescriber is activated, they quickly build depth prescribing TRUDHESA for multiple patients. In fact, there are already as many physicians who have prescribed in excess of 11 prescriptions as our there are physicians who have prescribed just 1 in these early days. As you would expect, we have begun to expand reach to our total target group with a view to expanding the number of prescribers in this critical cohort. This depth for prescribing metric is further illustrated and reinforced on Slide #8. On this chart, you will note that the total prescription share evolution among our growing base of prescribers has continued to expand, reaching almost 5% by the end of February. Please now refer to our next slide, Slide #9. We're often asked how many patients are responding to TRUDHESA. And early signs, while not surprising given the product's efficacy and tolerability profile are very positive. We deployed a survey to 200 TRUDHESA patients, and the feedback confirms the efficacy benefits of TRUDHESA, but also delivering VAT to the upper nasal space by our proprietary POD technology. When comparing the efficacy of TRUDHESA to the previous abortive medication, 61% said it worked faster and 58% said it had a better overall efficacy during the migraine attack. This lines up nicely with the refill rates we are consistently seeing with TRUDHESA of 63% launch to date. This compares very favorably with refill rates seen with competitive products, giving us confidence that we can expect to see a robust refill and persistency rate going forward. On our next slide, Slide #10, I would like to share interesting and important data on where TRUDHESA is being used in physician’s armamentarium. As shown on this slide, analysis of Symphony data confirms that TRUDHESA is being used in a broad pool of patients. Most often patients are switched from a previous therapy but as expected, there are instances where TRUDHESA is added on to either a preventative or even as a complement to another aborted treatment. Clearly, the search for efficacy is a challenge for many patients despite new advances. 30% to 40% of TRUDHESA patients have been either switched from our added 2 Gepants, while the remainder come from other classes most commonly triptans. These data are extremely encouraging, and we expect to continue to draw patients from multiple sources, particularly when one considers the high turnover in the gepant market, as mentioned earlier. TRUDHESA appears to be filling this market efficacy gap for thousands of patients. Turning now to Slide #11. This slide further illustrates the launch momentum we have seen with TRUDHESA. Over the past 4 weeks, TRUDHESA has captured 10% of the post triptan market amongst TRUDHESA prescribers. This is very encouraging, considering we are adding new prescribers every week, and it often takes time to establish depth of prescribing. When looking at the top 100 prescribers of TRUDHESA, those that have adopted earlier and had time to expand our prescribing, the share of the post triptan market jumped to 17%. With that, I will now turn the call over to John to review our financial results for the fourth quarter and full year 2021. John?
John Leaman: Thank you, Adrian. On our next slide, Slide #12, you will see our financial results for the fourth and full year of 2021. The net product revenue for the fourth quarter and full year 2021 was $0.6 million and $0.7 million, respectively. Initial shipments of TRUDHESA to specialty pharmacies began in September of 2021 ahead of the October commercial launch. Research and development expenses for the fourth quarter and full year of 2021 were $4.5 million and $20.6 million versus $8.8 million and $28.3 million for the same time period of 2020. The decrease was primarily due to a reduction in TRUDHESA clinical expenses as the Phase III study was closed. Selling, general and administrative or SG&A expenses for the fourth quarter and the full year of 2021 were $19.9 million and $50.9 million, which compares with $4.8 million and $17.0 million for the same period in 2020. The increase in SG&A was primarily due to the ramp-up in spending to support the commercial and marketing preparation for the TRUDHESA launch. Please now refer to our next slide, Slide 13. For the fourth quarter of 2021, Impel reported a net loss of $24.7 million or $1.07 per common share compared to a net loss of $14.2 million or $19.81 per common share for the same period in 2020. For the full year 2021, Impel reported a net loss of $76.7 million or $5.25 per common share compared to a net loss of $46.3 million or $91.05 per common share for the full year of 2020.  As of December 31, 2021, the company had cash and cash equivalents of $88.2 million. On March 16, the company completed a $100 million royalty and debt financing with Oaktree Capital. $100 million was funded upon signing and the company repaid the Oxford Silicon Valley Bank debt of $32 million, including the prepayment fee. With the recent financing, we believe we have sufficient financial resources to fund operations into 2024. With that, I would like to now turn the call back over to Adrian to make some additional and closing remarks. Adrian?
Adrian Adams: Thank you, John. Before closing out, I do want to make a few remarks on the development status with INP105. I would like to turn your attention to Slide #14. Firstly, I would like to underscore the broad clinical possibilities that we can see with our POD technology platform. We were clearly delighted with last year's first cycle approval of TRUDHESA. And pursuant to this, we believe that the POD technology has the potential to deliver numerous additional therapeutics of which the next in line for Impel is INP105. INP105 is comprised of a targeted formulation of olanzapine, which is the most used treatment for acute agitation and aggression, but its use is currently limited to intramuscular injection. We believe that INP105 has the potential to significantly reduce emergency room visits for patients with autism spectrum disorder, an area of unmet need as there are at least 220,000 ER visits a year, a large majority of which relate to patients that cannot be controlled in the home setting. Therefore, there remains a significant market opportunity to bring a more humane approach to deescalating agitation and aggression episodes in the autism patient population.  The Phase I study results of INP105 in healthy adults shown on this slide demonstrated that INP105 reached peak plasma levels approximately twice as fast as intramuscular olanzapine currently marketed as Zyprexa and 10x faster than orally disintegrating tablets. An ideal desired medication for acute agitation and aggression in autism is easy to administer, provides rapid tranquilization without excessive sedation, has a swift onset of action with sufficient duration to prevent untimely recurrence and has minimal risk for adverse events and drug interactions. This is the goal with INP105, and we are planning subject to agreement with the FDA to initiate a Phase IIa proof-of-concept study to be known as CALM 201 study during the first half of this year. Please now refer to our final slide, Slide #15, for some brief concluding remarks in addition to sharing our views on prescription guidance for TRUDHESA for full year 2022. As we have covered on today's call, we are delighted with a large progress to date with TRUDHESA, solid prescription on market share penetration in our targeted physician universe. All of this supported by a strong and growing managed care position and excellent physician and patient receptivity. Finally, given this launch momentum to date with TRUDHESA, we feel comfortable in providing guidance that we anticipate delivering prescriptions in the range of 70,000 to 85,000 for the full year 2022. With that, I would like to open the call up for your valued questions. Operator, can you please give the instructions?
Operator: [Operator Instructions] Our first question comes from Ken Cacciatore with Cowen and Company.
Ken Cacciatore: Congratulations team on the launch, looks really good. And thanks for that guidance. Just wondering around pricing, understanding you've done a good job of signing these contracts. And you did talk about it, Adrian, about a pacing here in terms of value capture, but I was wondering if you could be a little bit more specific. Obviously, we have the predecessors Nurtec and Ubrelvy in the marketplace, and they've established a price. Can you just speak in context to eventually understanding that there's a bit of an evolution in terms of when it flows to you. But can you talk about where they're netting out, which is roughly north of 500 per prescription, some comparison, maybe a little bit more context around the pricing and negotiating that you've been able to do. And then on the bridging programs, can you just talk about any learnings, how long should we anticipate you continuing to bridge? And then maybe just generally in the launch, any surprises, anything we've needed to adapt to? Anything that's kind of helping us or hurting us? And then lastly, I know I've asked a lot, but just lastly, this is obviously a very promotional sensitive space. So just wondering, as you've been able to get a little bit more capital, if we're going to see DTC maybe pick up more in the back half of the year?
Adrian Adams: All right. I'll ask Len to address the first question, but I'll deal with the last couple of questions and perhaps ask Len to comment as well. On your latter point, clearly, I think we are very pleased with the progress to date. As you well know, we've articulated that we wanted to maintain a very strong discipline from a kind of a build perspective that epitomizes the targeted approach to the market. And more certainly, and particularly with the guidance that we've given, that is a reflection on the strong growth that we anticipate into 2023 and 2024. We've also articulated that whilst we've started with a sales force of 60, our base plan assumes that we will double the size of that sales force to 120 by the early part of 2023 and that we could make decisions to invest into that opportunity earlier in the event that we see strong momentum, which we're seeing at this particular point in time. So those particular aspects we're looking at as we speak. In addition, you are quite right, we are well aware that obviously, the competition is spending heavily in relation to direct-to-consumer advertising, television advertising, et cetera. And to be honest, we are pleased that they're doing that because they are driving a significant amount of growth within the market. I say that from the point of view. But despite that, we're seeing these incredible churn over figures in the number of patients that are switching off those therapies. So in essence, we're able to maximize on this growing market and the opportunity that is being created from a growth perspective by the competition. As it relates to our activities in relation to the broader aspects of DTC whether or not we will consider any television or broader advertising, we want to earn the right to do that whilst maintaining a very strong financial discipline. So clearly, things are going very well for us at the moment. And we hope to be making decisions on things like that to further emphasize and invest into this opportunity as we track through this year and into next year. On the Bridge program, you're quite right. I think just to remind everyone, we did put in place a Bridge program, which is very common as it relates to work in these markets, and it is launching new products. As we mentioned, I think the critical part of that, as you well know, I think, is that once -- we've done a very good job of building prescriptions during the fourth quarter of last year and into this year. And clearly, I think we wanted to make sure that the prescriptions that we generated, the prescriptions could be filled in a rapid way, which is the essence of the Bridge program. We anticipate that, that program is going to be with us all the way through 2022. That said, I think as we've seen the progress in the managed care firms and the kind of downstream plans starting to engage with these products. So the number of patients that we're actually able to start moving off the Bridge program and moving into kind of normal practices is growing more rapidly than we anticipated. And that's because the program that we have in place in terms of specialty pharma is working extremely well and is rapidly being seen as a benchmark within the industry. And in essence, patients are going to get access to their prescriptions within 1 to 2 days, which is tremendous.  But Len, maybe you want to say a few more words about that and then discuss the pricing that was discussed earlier.
Leonard Paolillo: Sure. Thanks, Adrian. So I think you actually covered quite a bit. We -- when we look at our model for 2022, we see a blended 60% GTN discount over '22 ending with 40%, keeping about 40%. But the overall progress actually lines up quite well with what you saw with Nurtec over the course of their first 5 quarters. And Adrian rightly points out that our model has been very successful in transitioning patients that start on a bridge program over to a reimbursed by the payer patient, which is certainly helping our gross to net.  You also asked about some things helping and hurting in the market. I think as Adrian pointed to, there's still a very big search for efficacy in the market and the patient feedback has been pretty consistent that TRUDHESA does deliver that efficacy. So the turnover that we're seeing in combination with the efficacy that patients are seeing with TRUDHESA is getting back to physicians, and that's what's driving a lot of that depth in prescribing. So we're actually quite pleased with that.  In the sense of any headwinds, I think as Adrian mentioned, the Omicron wave in the beginning of the year wasn't really fun for anybody, but we've made really nice progress since then, hitting all-time highs in 9 consecutive weeks. So I think we're making a lot of progress there. So yes, I think Adrian covered most of it.
Adrian Adams: And on the pricing front, Len?
Leonard Paolillo: So we -- I think I covered just the overall net pricing model that would follow the Nurtec curve for the first 5 weeks. We are listed at 850. That's the WACC. The gepants are at 892 right now, but I think our net price is looking very strong.
Operator: Our next question comes from Laura Chico with Wedbush Securities.
Laura Chico: I guess, first, I wanted to drill into a little bit more on the 2022 script guidance. if you could offer up maybe a little bit more around the rationale for the target and some of those assumptions that are going into that level to get to over 70,000 scripts in 2022. Also, maybe discuss a little bit why guiding to scripts versus revenue made more sense? And then I have a follow-up for you.
Adrian Adams: Yes. On the latter part of your question, I think, clearly, I think, we do recognize, and I've always been very consistent, but the evolution, the prescription evolution of TRUDHESA, obviously, is critical in this marketplace. And certainly, from a trajectory point of view, which we're very pleased at this point in time. The first 1 to 2 quarters of that are going to be very important. So we feel the best metric at this point in time to really put out there is indeed guidance around the kind of prescriptions, which we've given. And clearly, I think if -- in delivering against that kind of range, of 70,000 to 85,000 sort of 2022, we feel that will be very much in line with the kind of consensus analyst expectations that are out there. I think -- and clear as it relates to your question in terms of revenue guidance, we didn't think it appropriate to do that at this particular point in time. I think as we've just talked about. I think we are transitioning through in the course of this year from the Bridge program. And obviously, we'll be exiting the year with the gross to net spreads that Len has articulated. I would also say that clearly, our base assumptions that we had in place from our own revenue model that we’re ahead of those expectations. So this was predominantly -- the guidance decision was predominantly related to an aspect that in the end, prescription evolution and providing a strong base as we move into 2023 we felt was the most appropriate guidance to give. But clearly, as we go through the course of this year, and in particular, into 2023, then we could revise that on a going forward basis. On your first point, I think in relation to perhaps giving a little bit more clarity in relation to the prescription evolution that we see during the course of the year. I think Len, maybe you can touch on that particular point.
Leonard Paolillo: Yes. So I mean, really, there are 3 main levers that we're looking at that’s the new patient acquisition. We're very pleased with the rate at which that's happening. Refills, as Adrian mentioned, the refill rate for TRUDHESA has been quite robust and aligned with the efficacy that we see, aligned with the patient surveys that we've been doing. So we have a great amount of confidence that, that will continue. And also the PODs per patient. I think a really interesting development over the course of the past couple of months is that we've seen an increasing number of PODs per prescription. I think that's an indication both of the evolution of how TRUDHESA is being used and the types of patients in which it's being used. So I think those 3 things combined are what gives us the confidence and kind of the runway to get to the guidance that Adrian articulated.
Laura Chico: That's very helpful, guys. I guess maybe one follow-up and Len, I think, Adrian, you both mentioned refill rates this morning. kind of north of 60% now, but I'm wondering how should we be thinking about refill rates over the course of the year as you kind of broaden out prescribing a little bit more?
Adrian Adams: Well, I'll touch on it first. So clearly, I think the way in which we've been measured refill rates. So we think it is very aggressive, but we have a very tight measure in place for doing that. And if one looks over the course of the last 4 months, it's been very, very consistent around the 65% to 63% refill rate. And that is significantly higher than you would expect -- you would see with some of the competitor products. What we've also seen, as we've been looking at the data is that the abandonment rate we see in this market is very low with the TRUDHESA and significantly lower than the abandonment rate that you see with other treatments and particularly the gepants. So we think all those dynamics in relation to the growth, the churn over in this market, which is remarkable and the fact that TRUDHESA is taking business from a wide pool of patient, all points to that kind of broader confidence that we have in the in the marketplace. So again, I think we feel very good about that. And the fact that, that's going to be -- remain consistent through the course of the year. And the -- as I mentioned, I think the program that we have in place with Phil and CarePoint in relation to specialty distribution, I think, is working extremely well. Patients are very happy so we can translate prescriptions into prescriptions in hand for patients very, very quickly, which again is getting that efficacy parameter into patients' hands as quickly as possible.  But Len, maybe you want to add to that to the first point as well.
Leonard Paolillo: Yes. I think when we look at how we measure our refill rates, as Adrian mentioned, it's quite a strict metric. So if you try to in some sense, do an apples-to-apples to the churn over data that Adrian refers to, in which about 60% of gepants wind up not refilling. They're given 120 days from the time the first prescription is filled to refill the next one. And how we're calculating our refill rates right now, the average time to refill is 35 days, and we're really not looking past 40. So these are actually quite immediate refills. And I think as time goes on and as we build some time in the market, we'll be able to do more and more of a comparison there. But we are very pleased with the refill rates that we're seeing. And as Adrian mentioned, we do anticipate that they will continue.
Operator: Our next question comes from Eddie Hickman with Guggenheim Securities.
Eddie Hickman: Congrats on a launch so far. Just a few for me. So what kind of feedback are you hearing from the TRUDHESA using patients on the convenience of the inter nasal delivery system versus these oral drugs, irrespective of any differences in efficacy? Like, as we're tracking the comparison of these launches, like and the acute migraine market continues to grow, how should we think about the peak penetration for an intranasal product versus an oral? So I would assume that intranasal would have a lower ceiling, but would love to hear your thoughts on that. And then I have a follow-up.
Adrian Adams: Yes. I mean, first of all, on the first point, I think you may recall that as part of the STOP-301 Phase III study, we did quite a number of human factors work not just in terms of ease of use, but content with the device, and that has been very, very consistent in the feedback that we've had from patients to date that they find the product very easy to use. And very importantly, I think with some of the qualitative work that we've done, the fact that they can be able to get that efficacy on demand very quickly that human aspect of the disease is manifested in practice so what we're seeing is that it's tough consistent with the data that we got from the STOP-301 study. So clearly, I think that is working very well.  I think in and aspects in terms of overall kind of the utility of the products, I think we're seeing patients being very happy overall in terms of therapy. I think we referenced in our presentation, I think some of the feedback that we got from patients in terms of comparison to their previous medication, the abortive medications of gepants, et cetera. And clearly, from an efficacy perspective and immediacy of efficacy and a consistency of efficacy that they're seeing that has been superior. We always knew that the efficacy profile of TRUDHESA was better than the gepants, And clearly, it's nice to see that that's the feedback that we're getting from patients. And so clearly, I think from that point of view, we're very happy. In addition, I think to your point on utility of intranasal products, I think there's no doubt that the intranasal kind of delivery of products in the migraine areas obviously found a nice place. As you well know, I think one of the challenges, 2 products that have been delivered intranasally I think, is that they've predominantly been to the lower nasal space, where TRUDHESA obviously delivered to the vascular rich upper nasal space. And clearly, that's leading to very strong efficacy predictability and consistency, which we believe will continue to grow, and we've not given any long-term estimates in relation to where we see the market share evolving. What we have said, just as a kind of a broad point of view is that if one looks at that kind of 2 million patients in any 1 year that [fail] trip downs, if we just took 5% -- 5% of that market price at the level we are at this point in time, you can easily see a penetration of approaching a peak sales potential of -- in excess of 500 million. And clearly, if one looks at some of the early market share numbers that we are seeing, I think that's given us a strong encouragement for the future. So we think we're in a good position from that perspective. But  Len, again, do you want to add anything to the points and questions that Eddie has asked?
Leonard Paolillo: I think the only thing I would add was also the unique aspect of having DHE delivered to the upper nasal space, as you mentioned. A lot of the other kind of analogs you're thinking about with intranasal delivery or offering delivering medications that are available in oral form, that is not the case in this instance. So I think that there is the unique route of administration, combined with DHE not having other options for administration orally.
Eddie Hickman: Great. And then among these super target physicians, it seems to be the focus right now. It's been about 5 months, and you're seeing pretty robust uptake within that segment with many writing an several prescriptions. How far -- how long do you think it will be before you sort of reach that like the total opportunity in that segment and sort of how long before that flattens and how high that can go within that sort of super target segment?
Adrian Adams: Yes. Len, do you want to touch on that?
Leonard Paolillo: Sure. I think we still have quite a bit that we can penetrate in that group. As I mentioned [Indiscernible] prescribers every week, many of them are super targets, and they quickly drive depths. I'll remind everyone that super targets account for 20% of all the TRx in the market this is a very, very, very big opportunity. And I would anticipate that we're going to continue to have quite a bit of focus in this group as not only do they have large patient groups right now, but they continue to get referrals from primary care physicians on a regular basis. At the same time, we will be expanding our reach into our still very important target group because, again, as a reminder, the 8,000 targets that we have generate 35% of the TRxs in the market. So we have quite a bit of work to do in both of these groups, which I think is a very positive sign for the future growth prospects for TRUDHESA.
Adrian Adams: And Eddie, I would also add as well, just to remind, I think we find the data on churn over to be fascinating. You may recall in some of our earlier presentation that if you look at all of the prescriptions that have been written for Nurtec and Ubrelvy since launch, well over 75% to 80% of those prescriptions to date have come from just around about 6,000 to 8,000 physicians, a significant proportion of whom are within our target group. So when you actually join the dots of the opportunity here and look at that very targeted approach in that we are seeing the same type of group of people, and then you overlay on that, the churn over that is being seen because of its importance in efficacy of in excess of 60% for Ubrelvy and Nurtec, that speaks to the opportunity. Join the dots between the opportunity, the targeting, the opportunity related to churn over and the feedback we're getting on efficacy and consistency, that speaks to the opportunity.
Operator: And I'm currently showing no further questions at this time. I'd like to hand the conference back over to Mr. Adams for closing comments.
Adrian Adams: Thank you, operator, and thank you all for joining us this morning. We indeed look forward to updating you on our continued progress throughout the course of this year as we continue to create value for patients, health care professionals and very importantly, you, the shareholders we serve. Thank you very much, and we'll talk to you soon. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.